Operator: Good afternoon, everyone, and welcome to the Fluor Corporation's second quarter conference call. Today's call is being recorded. [Operator Instructions] A replay of today's conference call will be available at approximately 8:30 p.m. Eastern Time today, accessible on Fluor's website at www.fluor.com. The web replay will be available for 30 days. A telephone replay will also be available through 7:30 p.m. Eastern Time on August 8 at the following telephone number: (888) 203-1112. The pass code of 5948843 will be required. At this time, for opening remarks, I would like to turn the call over to Ken Lockwood, Vice President of Corporate Finance and Investor Relations. Please go ahead, Mr. Lockwood.
Kenneth H. Lockwood: Thanks very much, operator. Welcome, everyone, to Fluor's second quarter 2012 conference call. With us today on the call are David Seaton, Fluor's Chairman and Chief Executive Officer; and Biggs Porter, Fluor's Chief Financial Officer. Our earnings announcement was released this afternoon after the market closed. We have posted a slide presentation on our website, which we will reference while making our prepared remarks today. Before getting started, I'd like to refer you to our Safe Harbor note regarding forward-looking statements, which is summarized on Slide 2 of the presentation. During today's call and slide presentation, we will be making forward-looking statements which reflect our current analysis of existing trends and information, and there is an inherent risk that actual results and experience could differ materially. You can find a discussion of those risk factors in the company's Form 10-K filed on February 22, 2012 and in our 10-Q, which was filed earlier today. During this call, we may discuss certain non-GAAP financial measures. Reconciliations of these amounts with the comparable GAAP measures are reflected in our earnings release and are posted in the Investor Relations section of our website at investor.fluor.com. With that, I'd like to turn the call over to David Seaton, Fluor's Chairman and CEO. David?
David T. Seaton: Thanks, Ken. Good afternoon, everyone, and thank you for joining us here today. Today, we'll be reviewing our results for the second quarter and discussing the trends we see for the second half of the year. Now I'd like to start by covering some of the highlights of our second quarter performance and ask that you maybe -- please turn to Slide 3. Net earnings for the quarter were $161 million or $0.95 per diluted share. Our consolidated segment profit for the quarter was just over $287 million, which compares favorably with $280 million of segment profit in the second quarter 2011. I'm pleased to report that results for the quarter included double-digit profit growth in all segments except for Power, which continues to experience a weak market demand and includes approximately $15 million in expense associated with NuScale. Our consolidated revenues for the quarter were $7.1 billion, an increase of 18% over $6 billion reported a year ago. New awards were strong with $7.3 billion in new contract awards during the quarter. Segment awards included $5 billion in Oil & Gas and $1.1 billion in Industrial & Infrastructure and almost $800 million in Government. Our consolidated backlog rose to a record $43 billion. Turning to Slide 4. At $5 billion, the Oil & Gas segment had a sizable new award -- awards for the quarter, which included additional scope and incremental releases for a major oil sands expansion in Canada. Our ending backlog for Oil & Gas is now at $19.5 billion, which represents 16% increase over last quarter and a 30% increase over a year ago. The Oil & Gas group is gaining some momentum. We're encouraged by the recent growth in new awards and backlog. Looking forward, not only do we see a large number of prospects internationally, but our opportunity set in North America is substantial and should progress into EPC awards as we get into '13, which is what we've discussed, I think, for the last 2 quarters. We expect natural gas prices in the United States will remain well within the attractive investment levels, which will drive significant investment in petrochemical and gas-to-liquids projects, many of which we're already involved in. Considering our strategic relationships with Dow and BASF and a host of other key clients, we -- they are considering those major capital expenditures. We're very enthusiastic about this market. Earlier this month, we announced that we have formed a joint venture with Sao Paolo-based Construcap to pursue engineering, procurement and construction management projects in Brazil. Construcap has been active in Brazil for nearly 70 years and is one of Brazil's largest construction companies serving the industrial, commercial and heavy civil markets. The joint venture will link Construcap's long-term presence in Brazil with Fluor's project execution leadership. This model, I must say, is very similar to the approach that we took in Mexico some 15 years ago, and you've seen our extremely satisfactory performance with that long-term joint venture that we call Grupo -- with Grupo ICA that we call ICA Fluor. Moving to the Industrial & Infrastructure segment, which posted second quarter awards of $1.1 billion, including additional scope on an iron ore project in West Africa and an award for a new auto sheet facility for Ma'aden and Alcoa in Saudi Arabia. Backlog at the end of the quarter was $19.5 billion, which is about $2 billion lower than last year as a result of the significantly higher revenue burn in the mining and metals business line. With regard to infrastructure business line, demand for transportation project is increasing with the number of prospects in the bidding phases that we expect decisions on in the next 3 to 4 quarters. And we're pleased to report that the I-95 express lanes project reached financial close earlier this week, so we will be adding this project to our backlog in the third quarter. With regard to Greater Gabbard, the project is substantially complete. We are now focused on the arbitration proceedings, which are ongoing. There has been no change in our position, which is discussed in more detail in our 10-Q. We hope for a swift decision from the arbitration panel. Now turning to Slide 5, the Government segment's bookings for the quarter were $769 million, which compares to $1.1 billion last year when we received advanced funding on the LOGCAP IV contract. Our expectation is the task order revenue under LOGCAP IV will remain consistent throughout at least 2013. Ending backlog for the Government segment was $505 million. Global Services. They booked $279 million in new awards, including renewals of existing operations and maintenance contracts. And we believe that when the U.S. economy picture strengthens, it will have a very positive effect on our O&M markets. Ending backlog for the Global Services segment was $1.9 million -- billion. The Power segment had $118 million in new awards and an ending backlog of $1.7 billion. We're beginning to see the pickup in a number of opportunities for new gas-fired project -- power project generation in North America, which we see as very promising. While the market for new power generation continues to struggle, we again report that Dominion Virginia Power has selected Fluor to design and build a new 1,350-megawatt combined-cycle facility at the Brunswick County Power Station. We expect to book the initial phase of this project into backlog in the third quarter. Consistent with our guidance for 2012 power, the Power segment result included the costs associated with our ongoing research and development activities as it relates to NuScale. NuScale submitted its application for FOA funding in May, and we expect to hear the outcome of the selection process within the next few months. Overall, we continue to see substantial market opportunities globally and are particularly encouraged by the growing prospect list in the United States relating to the availability of low-cost shale gas. With that, I'll now turn it over to Biggs to review some of the details of our operating performance as well as our corporate financial metrics for the quarter. Biggs?
Biggs C. Porter: Thanks, David. Good morning, everyone. Good afternoon, everyone, excuse me. Detailed second quarter results for each operating segment can be found in the earnings release and in the 10-Q. To follow my comments, please turn to Slide 6 of the presentation. As David mentioned, Fluor's consolidated backlog was $43 billion, which is up about $500 million over last quarter. The percentage of fixed-price contracts in our overall backlog was 12% at quarter end. This number could increase modestly as we begin to book more power and infrastructure work, which are predominantly fixed price. Our backlog continues to be driven by international markets. At quarter end, only 18% of our backlog was for projects in the United States, but we do expect that our U.S. backlog will grow as we book more power and infrastructure work and once the expected petrochemical investment cycle commences. Moving to corporate items on Slide 7, G&A expense for the quarter was $31 million, which is comparable to the same period last year. The effective tax rate for the quarter was 33%, which was at the higher end of our expectations due to an increase in state tax expense. For the full year, we continue to expect the rate to be in the low 30s. Shifting to the balance sheet, the consolidated cash and marketable securities balance totaled $2.5 billion at quarter end, which is down about $100 million from last quarter. Cash provided by operating activities was $129 million during the quarter. This positive result was driven by earnings sources, partially offset by growth in project working capital, which, excluding advanced billings, grew in line with revenue. A decline in advanced billings balances drove a cash usage in the quarter. Capital expenditures for the quarter were $66 million, which compares with $102 million a year ago. Most of our CapEx is directed towards the equipment business line and our Global Services segment. Through 6 months, our CapEx is trending below last year. During the quarter, we repurchased 2.2 million shares for $106 million and paid $27 million in quarterly dividends. I would like to conclude my remarks by providing an update on our guidance for 2012, which is on Slide 8. Based on strong year-to-date performance, the company is raising the lower end of its 2012 EPS guidance to a range of $3.50 to $3.80 per diluted share from its previous guidance of $3.40 to $3.80 per share. Guidance for the year assumes that G&A expense will be in the range of $165 million to $175 million. With that, operator, we're ready to take questions.
Operator: [Operator Instructions] And we'll take our first question from Andy Kaplowitz with Barclays.
Andy Kaplowitz - Barclays Capital, Research Division: David, so looking at backlog going forward, I know you're going to tell me it's lumpy. But the confidence in the Oil & Gas backlog rising over time from here, obviously, you had a great quarter. And then maybe you can talk about the oil sands in particular. Obviously, you have one large project that's been going on for a while, but you also have a couple of FEEDs out there that maybe you can convert at some point in the next 6 to 12 months. So maybe you can talk about those.
David T. Seaton: Well, I think we are seeing a significant FEED activity, which I mentioned in the previous quarter as well as maybe a quarter before. So we're very active on that, and we -- it gives us good sight into what I believe will be a very robust new award story for 2013 for Oil & Gas when the FEEDs kind of translate into EPCs. So I think we're kind of at the beginning of, like I said last time, of a pretty good cycle for Oil & Gas. With respect to the oil sands, we are continuing to work on several programs up there. And I think, just like this quarter, there are really big slugs of work that come in as backlog, and that's what I think is going to provide a fair amount of the lumpiness that you mentioned. But we continue to noodle on how we look at our new award intake and make sure that we're being very prudent and only taking it in when we have the real sanction from our customers.
Andy Kaplowitz - Barclays Capital, Research Division: Okay, that's helpful. So the other side and looking at mining, obviously there's been a bit of noise here lately over projects moving to the right, some of the prospects that you have. Your burn rate was obviously very good in the quarter. So maybe you could talk about your burn rate going forward, if there's any potential impact to that. And then just the prospects in line, do you still see them out there? And how do you look at backlog in I&I moving forward?
David T. Seaton: Well, I think it'll continue to grow. I do believe that we've had several projects kind of move to the right or have been slowed, Conga being one that's been slowed and, obviously, the comments that you heard from BHP, neither of which actions impact our outlook in this year. Obviously, it would impact next year if they didn't come back. But I still stand by what I've said around just the overall market and when the improvement in commodity pricing is expected. When you think about the late '13-early '14 time frame, and these programs have to be there in order to satisfy those demand equations or somebody else will get them working. In the case of the 2 that I mentioned, we're continuing to support Conga on a much more modest basis as we determine the future of that program, but that doesn't impact at all the burn, if you will, that we're anticipating for the rest of this year. And in the case of BHP's comments, we continue to support that program. And even though there's a cash flow concern, I think, by all mining companies, it really doesn't -- we've planned for it, if you will, in what we've done relative to our burn and as reflected in the improvement in our guidance.
Operator: And we'll take our next question from Jamie Cook with Credit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: Two questions. One, David, I thought the one interesting thing about the quarter is you're finally at that inflection point where you're seeing Oil & Gas and the I&I backlog, they're finally at similar levels, right? So I guess as we look out over the next sort of 6 to 12 months, do you think we're at that inflection point where the Oil & Gas awards are strong enough to start outpacing the I&I business? Because that obviously has implications for profitability and margins longer term, whereas the mix has been negative. And then I guess my second question relates to margins, I guess, both on Oil & Gas and I&I. I would assume with Oil & Gas, just the backlog that you have, we should be getting to a point where the utilization starts to improve. So what are the 2 or 3 things you think we need to see before we hit a 4% on the Oil & Gas margin side? And I guess with regards to Industrial & Infrastructure, we -- you mentioned plus or minus 4% a couple of quarters ago. We've been below 4% the past 2 quarters. Is 4% now out of the range for the I&I segment? And if you want to pawn off the margin question to Biggs, you can do that, too, because he doesn't get the free pass anymore.
David T. Seaton: Exactly. And I will ask Biggs to answer the margin question.
Biggs C. Porter: Thanks, Jamie.
David T. Seaton: But I will address and I'll kind to talk about mining in this and the transportation piece of the infrastructure as well. I'm not sure I'd put the same time frame, Jamie, that you put on Oil & Gas, but I think we're at a point where, as we get into next year -- now you got to understand, we're taking in services on the FEED, which really aren't big from a revenue or backlog perspective, but they're very good from a profitability standpoint, on a margin percentage basis. And I'll stop on that relative to the margin question. The EPC values are what we're going to see tick up as we get into next year. And I think that you will see Oil & Gas outpace mining as we get into next year. There are some very large programs, but I think there's also some modest projects out there that we're already working on that are in $300 million to $400 million range as well, which I think are really good signals relative to the longer-term growth cycle of E&C beyond '13, into '14 and '15, frankly. And obviously, that's when a lot of the earnings will drop in. So I think that's a very good sign. I think on mining, even though things have kind of pushed to the right, as I said, there are some major programs out there that we're still working on that still make good economic sense for our customers, and it's a matter of timing for them. So I think where I've used the term lumpy to describe E&C in the past, I think I'm going to start using that to describe the mining piece. But the other piece of I&I that I think is growing, and we've made this comment before, if you go back almost 5 quarters, there's been very little bidding activity in the transportation space. In fact, we've got 2 bids, 1 bid that's already gone in and I think 3 more that go in by the end of the year that are quite sizable. So when you combine that with the Oil & Gas piece -- I mean, sorry, with the mining piece, I think I&I in that segment has continued growth, but modest because of the amount of burn that you're going to see from a revenue perspective in the out quarters. So it's going to be a put and a take with regard to I&I, but the real, I think, growth is going to be in our E&C sector. So Biggs, I'll let -- if you wouldn't mind addressing the margin question.
Biggs C. Porter: I mean, Sure, I'll approach on both -- the first question on both Oil & Gas and I&I. On -- the first thing I would say is that we're focused on profit dollars rather than margin rates. So I just want to stipulate that up front. The -- on Oil & Gas, the awards in second quarter do have a fair amount of customer-furnished material content. And as David said, the EPC will pick up over time, and that's going to carry a higher margin rate going forward. But over the next couple of quarters, then, margin rates on Oil & Gas will be a little lower than that 4% target that we talked about earlier for the longer term. But once again, we want margin expansion, and that's the most important thing irrespective of whether the near-term rate reflects that CFM. We're achieving that. Segment profit in Oil & Gas is up 22% year-over-year. So clearly, a success on that front. And the home office hours are going up, so that's a good sign for the longer term as well. On I&I, yes, Mike said plus or minus 4%, I think, the last call. First quarter or second quarter run rate is 3.6%, 3.7%. It's going to vary over time based upon the mix of mining content relative to infrastructure content and when the milestones are achieved on infrastructure, which enable the higher profit rate recognitions. Based upon what we see right now, it will probably stay under that 4% number for the rest of this year. But once again, as the infrastructure jobs come on and materially hit the milestones, then we expect those rates to improve over time.
Operator: And we'll take our next question from Scott Levine with JPMorgan.
Scott J. Levine - JP Morgan Chase & Co, Research Division: So with regard to -- it sounds like on the Oil & Gas side in the U.S. in particular, it's the petrochem and gas liquids that are the engines driving growth. Can you provide a little bit more color and specifics on timing? And help us understand, particularly on the gas-to-liquids side, timing there relative to chemicals and relative size of the projects that you potentially see moving forward in that area.
David T. Seaton: Well, I think first, we're seeing some of the smaller programs that will go into EPC as we get through the rest of this year. And those are quite good programs for us. The gas-to-liquids programs are of such size as well as the ethylene cracker programs that we're working on are of a size to where there's going to be a fair amount of time spent on the FEED, and they're going to be of a size to where a little extra scrutiny from our customers' boards will be applied. And some of those are multibillion-dollar programs, and there are several of them, so we're really, really encouraged by the ability to get in on most of these programs so early, and we have a really good batting average of moving them from the FEED into the EPC scopes. But I think those programs going into backlog from an EPC basis are probably mid to late next year. But I think there's a significant amount of the small- and middle-sized that are going to help that growth story within our E&C group.
Scott J. Levine - JP Morgan Chase & Co, Research Division: And maybe as a follow-up on LNG, I don't think you heard -- you mentioned LNG. I was wondering your thoughts on that market not just in the U.S. but also globally. You're on the Santos, but update on prospects throughout the world and maybe particular thoughts on the U.S. and other new markets, maybe Africa as well.
David T. Seaton: Relative to LNG, on Santos, we're not actually on the LNG plant, we're on the coal-seam methane extraction piece in the transmission. But with respect to LNG, we've been very active over the last couple of quarters in preparing and actually qualifying to bid on several of the programs in the Asia Pacific region, and we feel like we're very well positioned to participate in several of those. So, I mean, that's kind of a change from our past, and I'm quite happy that we've kind of turned the corner relative to LNG and currently have some traction. And I think that the near-term opportunities in LNG are going to be in the Asia Pacific region with a little bit of study work done here in the States. And I feel confident the ones that are here in the States, we'll have a shot at being a participant there. So that is a little bit of a change, I think, from our past where we haven't been part of that liquefaction club. I think we've made moves, partnering moves, to where we're kind of changing the game there.
Operator: And we'll take our next question from Mike Dudas with Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: David, back to mining. The CEOs in the mining industry are concerned about certainly government regulation and issues politically in a lot of these countries that are operating the mines and also with the level of capital cost creep or increase that they're seeing and given the competition for talent like yourselves and vendors, et cetera. Do you agree with that? And is there things you as Fluor can do to help moderate that increase to allow some of these projects' rate of returns to allow for these programs to go ahead?
David T. Seaton: That's a great question, Michael. The -- on the first part, the -- governmental activism is nothing new, but I think given the size of some of these programs and the delay and the cash flow concerns of these companies, it's just been in the press more than what we've seen in past cycles. I can't point to a mining program we've been involved in, in the last 10 years where we haven't had some sort of governmental challenge relative to permitting or some sort of civil unrest in some of these places around the globe. So those 2 elements aren't anything new. I just think that because the projects have gotten so big, many of the customers are using that in their explanation of what they're doing from a capital perspective. So again, I'd say that this isn't anything that we didn't expect or anticipate, but I think it's a little more in the press right now and, obviously, on the thoughts -- in the thoughts of many people. I think the other aspect to your question is, I think we have started -- and one of the reasons why I think we've got such a position in -- with many of the mining companies in a pretty competitive landscape is because we're really being innovative in trying to drive different solutions to drive down cost. And every project we look at it being competitive. But at the end of the day, one of the things that we're seeing is our ability to partner with our customers to kind of drive out the wish lists that are inherent in every capital program that we get into, which drives a fair amount of the escalation in costs that we see. So I'm pretty pleased with where we stand with the dialogue with our mining companies and finding solutions to hold down capital costs and deal with the timing element of some of these programs such that we don't see the huge boom that we saw in our Oil & Gas segment a couple of years back where you saw the significant escalation in commodity pricing, the cost of engineered equipment as well as the cost of craft labor. So even though it's a little troublesome to see the delays, it's not -- it's certainly not something that we didn't anticipate.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Well, I know one client in Toronto is relying on you on that with a major project.
Operator: And we'll take our next question from George O'Leary with Tudor, Pickering.
George O'Leary - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Given kind of recent events that we've seen in the E&C space, I think M&A is on everybody's mind. Just wanted to get a better picture for how you guys are thinking about M&A, what sectors or end markets interest you and maybe what geographies as well are interesting?
David T. Seaton: Well, I think we've been very clear that our appetite for acquisition is niche in nature. And we've also been very clear that -- and the areas of fabrication and construction are important to us. In some places, it's a matter of us growing what we already have. And in other places, it's about seeking partners and developing our own capability in certain regions. I think our announcement in Brazil is an example of where we feel like partnering is the best way to gain that construction capability. When I think about the Gulf Coast, I mean, that's home for us, and we've got quite a capability with regard to direct-hire construction in that market. And that's obviously a place where we're going to grow that capability to service the customers' needs. But I think I restate kind of our approach relative to adding skill sets that are necessary for our offering to our customers, and we'll see what the market -- how the market treats other types of acquisitions.
George O'Leary - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: And then one more question. Just can we get an update on SMR and NuScale and how that's all proceeding? And...
David T. Seaton: Yes, thanks for that question. We are -- as I said in the prepared remarks, we submitted our application for FOA about 4 weeks ago, and we're very happy about the reception we've gotten. We held a Industry Day last week in Oregon. It was very well attended not only by potential customers but also by potential partners. And we continue to have a dialogue with manufacturing-type partners that we hope will come in and be a partner in how we monetize this operation. As I've said, I believe that the small modular reactor is a huge piece of the future generating capacity. It fits into several markets that we already have a good foot in, both -- they're all from the standpoint of the U.S. Government's use of this type of technology. I think there's a bigger market outside of the United States, I think, which fits very nicely into our footprint. And we'll be able to deploy these units from an engineering, procurement and construction perspective. But then I think there's also a third segment of that market where there's energy-intensive industrial uses that will change their cost basis once this technology is proven out. I still am as bullish on the market, and I'm more encouraged about our future prospects from bringing in additional talents and skills to share in the R&D responsibility deploying this technology.
Operator: We'll take our next question from Steven Fisher with UBS.
Steven Fisher - UBS Investment Bank, Research Division: Good to see the award on Brunswick County. I guess I'm just wondering how you feel about the risk profile of that project. And then, more broadly, you mentioned about increasing fixed-price mix generally as the transportation and power picks up. So how are you thinking about how much risk to put into the backlog over the next couple of years?
David T. Seaton: That's a great question. I think with regard to Brunswick, we're not concerned about that risk profile at all. We'll take in a limited notice to proceed in the third quarter and then the major piece of that as we get into next year. And it's in our sweet spot. I mean, it's -- direct-hire construction in Virginia. We worked for Dominion and have had great success with them as a customer. And it fits very nicely within the model that their power group has. With regard to lump sum as a component, if you go back in our history, we've been as high as 40%, 45% fixed price. I'm not signaling that that's where we're going, but I think it speaks to the capacity of the organization to grow prudently and profitably above the percentage that -- where we stand today. Looking at the power market, I mean, obviously, those are going to be "multiple hundred million dollar" kinds of programs, as well as the infrastructure projects. And in those 2 cases, I'm very comfortable with those units' ability to deliver the expected profits on those programs. So I look at that percentage as a band, and our comfort in doing more lump sum is going to be specifically as it relates to the type of project, to the location of the project and the customers that we choose to do fixed-price projects with.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And then are there any notable government programs that you're bidding on in the next few quarters that could replace the LOGCAP work when Afghanistan winds down? And then I guess just general thoughts around government strategy.
David T. Seaton: Well, I think there are several programs that we're bidding on in the services space: base services, base management, base operations and maintenance programs around the world. There's a couple of DOE bids that are ongoing with the normal partnering types of approach. We said in the prepared remarks that we don't see any marked change through '13. And in fact, if history repeats itself, when you think about the earnings trajectory, if you will, of Iraq, that will bode into '14 as well. But beyond that, I wouldn't really want to comment.
Operator: And we'll take our next question from John Rogers with D.A. Davidson.
John Rogers - D.A. Davidson & Co., Research Division: Two things. First of all, in terms of SG&A, the forecast you've given us -- implies a pretty substantial ramp in the second half of the year. And maybe you'd just touch on what's going on there.
Biggs C. Porter: Sure. I think we're just being a little conservative with respect to the historical trends, which do have some ramp-up in the fourth quarter. So beyond that, there's no real story to present in terms of what we expect. That may ultimately prove to be conservative, but as I said, that's the normal trend.
John Rogers - D.A. Davidson & Co., Research Division: Okay. And then just back to NuScale for a second. Once the government decision's made, I mean, should we assume that you're either going to continue -- that you'll stop funding it or half of it's going to provided by the government?
David T. Seaton: No, I think that it will provide a very large piece of the funding source, but so will potential partners that we will bring into that. I don't -- it won't drop to 0, but there -- and there would be -- once we're awarded FOA, there could be a ramp-up in the short term but then, obviously, drop as the funding is provided not only, as I said, by the FOA, but also by the partners relative to the manufacturing side of the equation.
John Rogers - D.A. Davidson & Co., Research Division: Okay. And that's decision is still due this quarter? Or is it most likely now fourth quarter? I just saw that in -- reading the comments there, yes.
David T. Seaton: DOE and NRC basically said that they wanted to make a decision in September. We heard that they may want to accelerate that. But as far as from a planning perspective, we're still focused on sometime in September to hear on FOA.
John Rogers - D.A. Davidson & Co., Research Division: Okay. And David, one last question, if I could. Your comments relative to the chemicals industry and GTL projects in this -- hopefully coming in second half of 2013, does that apply to the gas to liquids as well?
David T. Seaton: Absolutely.
Operator: And we'll take our next question from Will Gabrielski with Lazard Capital Markets.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Did you comment on what FX was in the quarter? Impact to backlog, if you could?
Biggs C. Porter: In terms of the impact on backlog, there's very little impact on earnings, also very little. So not a big driver either way for us.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. And did you make any adjustments to your existing Ma'aden work in the quarter, negative or positive?
David T. Seaton: No, but we added the automotive sheet plant. But the other work, there was no change.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. Maybe -- it's a big Oil & Gas number, I'm guessing, and it all came from -- or it sounds like you're just pinpointing the one project up in Canada. Can you give any more color geographically on what you booked in the quarter, upstream versus downstream, et cetera?
David T. Seaton: Now we're seeing some steady work start on refining. I think petrochemicals are still driving the growth in FEED work, which includes GTL in that particular market. Upstream is still the Middle East and Central Asia with a little bit of uptick in Australia.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: And all of that equals $5 billion on top of your existing Canadian work in the quarter?
David T. Seaton: I think our -- it was $5 billion in the quarter.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Right. No, no, I was just wondering what else beyond the Canadian oil sands job contributed meaningfully to that number.
David T. Seaton: I mean, I think a significant piece is the -- is mostly the Canada project.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. So it's just that much bigger than maybe we were thinking about coming into the quarter?
David T. Seaton: Right.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay, fair enough. Sorry for the confusion there.
David T. Seaton: [Indiscernible].
Will Gabrielski - Lazard Capital Markets LLC, Research Division: And then in terms of the work you'll be doing hopefully in the U.S. on the chemical petchem cycle, how is that going to compare maybe margin-wise to rest of world? And will you -- I guess as a target, will you be self-performing more work there? And will that have a positive margin benefit?
David T. Seaton: Well, I think the answer to the latter question is absolutely. That's a keen focus of mine. I mean, I started my career in -- on the construction site, and I have a passion for that. And recapturing that preeminence is something that's important for me. And in fact, that's part of our margin growth story, because in some cases, those are pass-throughs from a revenue standpoint, and we don't enjoy the profitability, somebody else does. And our current strategy is to capture as much of that as prudent and dictated by the execution plan.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. But that's mostly U.S. where the direct-hire construction makes the most sense, right, not internationally? Or are you...
David T. Seaton: No, I think there's places around the globe where we're quite comfortable and have experience in direct-hire construction in the Oil & Gas space, and we're looking for those opportunities. I mean, there are some that we're already focused on, like the Santos project, where we're doing some direct hire. And obviously, building that capability in Australia, given the markets, will be beneficial over the longer term.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. And last thing on Santos. If you can just give a quick update on how the project's going. Obviously, there was a lot of news during the quarter from the customer about the cost increases, and it definitely seems like they're accelerating some upstream work. I'm just wondering if you're exposed to that and if you're benefiting at all.
David T. Seaton: Well, I think there's -- we're -- well, I think we're executing per the plan, and we're very -- I tell you, Santos has been a very good customer from a -- just a working-relationship standpoint. They're very talented, they know what they want. And we work very well with customers that have a robust project management capability. And we expect to see upside to that because of the relationship we're building.
Operator: And we'll take our next question from Brian Konigsberg with Vertical Research.
Brian Konigsberg - Vertical Research Partners Inc.: First on the I&I segment. Just curious with the infrastructure. So you have one in the bag already, you got several that you're pursuing. Historically, these have been a higher margin than the mining business. I'm just curious, as far as kind of lead times in the ramp-up and the expectation of the projects you are bringing in house, when should we anticipate those are going to meaningfully contribute to the margin profile of the I&I segment? Is that a late 2013 type of dynamic, assuming you win your share of the projects you're pursuing?
David T. Seaton: Yes. That's a good -- you stated a good time frame.
Brian Konigsberg - Vertical Research Partners Inc.: Okay, fair enough. And in Brazil, so you have this new consortium. Could you just talk about some of the opportunities there? Is there anything in the near term we should be looking for? And maybe the types of projects that you'll be pursuing there?
David T. Seaton: Well, I think it's primarily Oil & Gas and primarily Petrobras, obviously, that's the big target. We are starting on some smaller programs. We're not going to get out of our swim lanes, so to speak, and make sure that we do the right things. I think what you'll see in the near term is a fair amount of engineering and procurement services types of programs. And with Construcap, we will grow into an ability to do some of the larger projects from an EPC basis. But for the rest of this year and then early into next year, we're going to take a very measured approach so that we've got a sustainable relationship with Construcap.
Brian Konigsberg - Vertical Research Partners Inc.: And just finally on NuScale. Just in light of the FOA funding, I assume you have a good chance of receiving that. You talked about bringing some partners on board, but does the funding itself change your view as far as the ownership structure? I know you wanted to, I guess, reduce to maybe become a minority owner, but I guess with the funding in place, does it change your view on that?
David T. Seaton: No. No, not at all. I think the thing that I think is going to help is once we're successful with FOA, that's -- it's not the Good Housekeeping Seal of Approval, but it's a move towards one, which I think makes NuScale, as an investment for others, much more attractive.
Operator: We'll take our next question from Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: First question is really in regards to the scope expansions you've seen. A lot of your peers that have reported have also indicated scope expansions. Could you sort of provide a bit of color really on why we are seeing a general, broad-based scope expansion sort of phase? And just putting it in perspective because, we saw something similar in the previous up cycle, so would like to get a bit of color on why we are seeing this scope expansions in general right now and whether they're going to continue. Because if you really look at your quarter in terms of awards, it was very strong even with no large super-bookings.
David T. Seaton: Well, I think it's not necessarily additional scope, it's the phasing of the project. So, I mean, this was kind of anticipated. There's puts and takes on the values of those, but this addition was not necessarily escalation, if that was your question. It was more of the sequencing of how the customer is sanctioning the project, which matches up with our conservative new award intake philosophy.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it, okay. So you could potentially, -- when you look out, other than the large development that are yet to happen, do you see other similar scope expansions as a possibility?
David T. Seaton: Oh, I think there's some, yes. And then I think there's, in some cases, phase 2s that we're already focused on that we would bring into backlog as we are sanctioned on those in the out years. And those are some pretty large programs as well.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it, okay. And then the second question is in regards to the Power side. When we go back to the early 2000s, when we had the IPP boom, flows down as much as $3.5 billion in annual bookings on the Power side, and I think, given the Oil & Gas cycle, a lot of people tend to forget that. So as we go into the potentially a fairly large build-out and switch-out from coal to natural gas, I would love to get a perspective of where you could see bookings trends going and whether we could replicate the past.
David T. Seaton: Oh, I think we can replicate the past. The challenge is going to be more on the regulatory realities than anything else. We're -- we've already done the front ends and are -- continue to do some of the front ends for several of the major generators relative to their coal fleet and what has to be done if in fact the regulations are solid. I think I've said in previous conversations that this -- I mean, certain regulators don't like the answers, so they put new permits in place, but they don't describe exactly how you get them. And I think that's where a lot of our customers are right now, is -- I was at an event with one of the Power CEOs, and his comment to the audience was, "We're ready to spend $20 billion to deal with our coal fleet if we only had surety of regulation." So we're very well positioned with most of those customers and, in fact, are working with some on the early works around that coal equation and what happens. I think the replacement, in my mind, is primarily on the gas side. And as you mentioned, we're very well positioned and have the resume to be very successful there. I think one of the interesting things that's going on right now is when you think about -- I mean, it's 150 degrees today in Dallas, okay? A little bit of an exaggeration, but it feels like 150. But what we didn't have last winter was a cold enough winter to get those reserve margins to a point where there -- the public sees a need for change. I think with this summer and some of the challenges and conservation activities that are going on aren't going to be enough to keep rolling brownouts to take place as we get through the end of August. So I think public opinion is going to change when air conditioners aren't running, and I think we're close to seeing that. So I think there are some -- a couple of things converging that are going to cause a significant uptick in gas-fired power, and I think we will be very active in that space.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Great. That's always good to hear. Last question is really in regards to India. Clearly, you've been probably also following the news recently on the big blackout there. Is it too early to call -- think about the potential opportunities arising out of that for Fluor? Could it lead to perhaps more accelerated build-out of infrastructure on the Power side in particular?
David T. Seaton: It's a great question. I think with the Reliance work that we've taken in, we've added to what I think is already a robust capability in India. We've been -- we've had a significant presence there from an engineering perspective for almost 2 decades, and we're getting comfortable with the EPC market there. And I think there's opportunity for us in that power sector. But again, I think there's a lot more clarity required on exactly what the Indian producers will do before I get too excited about that being a significant piece of our business in the near term.
Operator: And we'll take our next question from Andrew Wittmann with Robert W. Baird.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: I couldn't help but notice that the margins in the Global Services business were a little bit higher this quarter. I was just wondering kind of what's driving that. Was there anything onetime? Or was that maybe an indication of just demand for engineering talent and equipment that maybe the demand has risen to the point where you're able to charge a little bit more?
Biggs C. Porter: Really, each of the businesses in Global Services performed well in the quarter, so there's no one individual driver. And there aren't a whole bunch of or any singular, unique events that stand out. There was a sale of equipment in one instance to a customer that had a gain associated with it, but that's still relatively immaterial. So nothing singular to point out. They're performing well, and obviously we're happy with that.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: And you would expect -- is this margin level that we saw in the quarter...
Biggs C. Porter: I don't think I want to, business-by-business, give line-item guidance for margins for the rest of the year. We're happy, as I said, with how it performed in the quarter. We've given our full guidance for the year, which projects 2 more good quarters, and I think we probably just need to leave it at that. Nice try, though.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Yes. And David, on the infrastructure and specific to the transportation side, it sounds like -- obviously, your tone, to me at least, sounds a little bit improved. Is this just something that's been incubating for a while with the way the projects have been queuing up for you? Or are we seeing real benefits from the fact that we now have a 2-year transportation bill? And if not, what's your outlook from here? And how supportive that bill will be for the next couple of years?
David T. Seaton: I think it's a -- it's kind of half and half. I think we've had a fair amount of just the gestation period of developing some of these programs going as well as the ongoing debate within the various states and the federal government about where the money is coming from. I think the infrastructure bill will be helpful, particularly around the TIPYA [ph] type of support that some of these programs require. But I think most of what we've seen is just a timing issue on bid slates. Obviously, there are some very large programs out there that we're going to participate in, and we're bidding right now, and I feel confident that we'll show some success as we get towards the end of this year and early next year.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Okay, great. And then just on Greater Gabbard. Just you kind of mentioned that you're hopeful for a swift resolution there. Is that an indication that you actually are seeing real progress? Or is that really just what you're kind of hoping for right now?
David T. Seaton: Well, we're in the middle of the arbitration right now, which, frankly speaking, is ahead of what I thought it would be. I mean, you're at the tail end of Wimbledon and you're in the -- and it's being held in London. You're the middle of the Olympics, and it's almost vacation season. I lost a bet with my counselor that we would actually get into the arbitration as early as we did. So I think we're very pleased with the speed of the proceedings, and we still feel very confident in our position.
Operator: And we'll take our next question from Robert Connors with Stifel, Nicolaus.
Robert Connors - Stifel, Nicolaus & Co., Inc., Research Division: When you look at these large petrochemical crackers, are the billable man-hours within them comparable to what you did on some of your large North American refinery projects in the past?
David T. Seaton: No -- well, yes and no. I think we will probably have more detailed engineering content in those than we saw in -- what I would be -- say is comparable would be the petrochemical complexes in both China and the Middle East but approaching the kind of content that you see in a refinery project.
Robert Connors - Stifel, Nicolaus & Co., Inc., Research Division: And then your FEED-to-EPC conversion rate is pretty darn good when it comes to downstream. Do you expect that same sort of conversion rate on a couple of these large upstream FEEDs that you're working on? And is there any update on that $30 billion FEED number that you've given in the past?
David T. Seaton: Well, I think the $30 billion FEED number is still a good number, and we're active on a fair amount of those projects. I think that relative to our hit rate, we -- assuming that we're performing well for our customer, I think our hit rate's very well. And so far, we don't see any signs that we're not performing for our customer. I think that the value proposition that we have is largely supported by the talents of our teams, and we feel very good about our ability to staff multiple major programs around the globe, including the $30 billion worth of work in the Gulf Coast. I think the other point I'd make is in this period of time where mining has really grown, it's allowed us to significantly grow our bandwidth from a management talent perspective. So I feel very good about our ability to continue to grow and do multiple programs even more so than you saw in the refining sector in the last cycle.
Robert Connors - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then if I could squeeze one more just regarding some of the scope expansions. Do those tend to have a faster book-and-burn profile because a lot of your resources are already on site? And does that have any material impact on margin levels?
David T. Seaton: No, I would say not. I mean, as I mentioned in a previous question, we kind of knew they were coming and kind of planned for them. So, I mean, they're already planned in our revenue and profitability burn in the out quarters.
Operator: And that does conclude our question-and-answer session. At this time, I'd like to turn the call back to you, Mr. Seaton, for any additional or closing remarks.
David T. Seaton: Thank you very much, operator. And again, I'd like to thank everybody for participating in our call today. As I think you've heard, we feel very good about where we are as a company with the performance we've had in the first half of 2012. I think we began the year with a fair amount of economic and market uncertainty, and I think we will all agree that broad sentiment in that fact has not improved much. But despite continuing macro headwinds, we're very positive about our progress in growing our company as it relates to our diversity as well as our global footprint and experience. As I've said in the past, I greatly appreciate your interest in our company, and we look forward to continued growth as we go through this year and next. So with that, I'll end the call and wish everyone a good day.
Operator: And again, that does conclude today's conference. We do thank you for your participation.